Operator: Good afternoon, and welcome to the Penske Automotive Group Fourth Quarter 2025 Earnings Conference Call. Today's call is being recorded and will be available for replay approximately 1 hour after the completion through February 18, 2026 on the company's website under the Investors tab at www.penskeautomotive.com. I will now introduce Anthony Pordon, the company's Executive Vice President of Investor Relations and Corporate Development. Please go ahead, sir.
Anthony Pordon: Thank you, Regina. Good afternoon, everyone, and thank you for joining us today. A press release detailing Penske Automotive Group's fourth quarter 2025 financial results was issued this morning and is posted on our website, along with the presentation designed to assist you in understanding the company's results. As always, I'm available by e-mail or phone for any follow-up questions you may have. Joining me for today's call are Roger Penske, Chair and CEO; Shelley Hulgrave, EVP and Chief Financial Officer; Rich Shearing, North American Operations; Randall Seymore, International Operations; and Tony Facione, Vice President and Corporate Controller. During the fourth quarter, we acquired Penske Motor Group from a commonly controlled affiliate. As a result, the information contained in today's press release has been retrospectively recast to include the full quarterly and annual results of Penske Motor Group in both periods, which is required by GAAP under common control accounting, we have provided schedules in today's press release to help you better understand the impact of the recast. Additionally, we may include forward-looking statements on today's call about our earnings potential, outlook, and other future events, and we may also discuss certain non-GAAP financial measures such as EBITDA and adjusted EBITDA. Our future results may vary from our expectations because of risks and uncertainties outlined in the press release today. We have also prominently presented and reconciled any non-GAAP measures to the most directly comparable GAAP measures in this morning's press release and investor presentation, both of which are available on our website. Our future results may vary from our expectations because of risks and uncertainties outlined in the press release under forward-looking statements. I direct you to our SEC filings, including our Form 10-K and previously filed Form 10-Qs for additional discussion and factors that could cause future results to differ materially from expectations. I will now turn the call over to Roger Penske.
Roger Penske: Thank you, Tony. Good afternoon, everyone, and thank you for joining us today. Today, I'd like to begin with thanking each of our team members for their hard work and commitment to exceeding expectations in 2025. Despite several challenges, our business generated another year of strong profitability. And I look forward to the future, and I am even more optimistic about PAG. The recent strategic acquisitions of Toyota and Lexus dealerships combined with our existing diversification provide a solid foundation for future growth and improved profitability. During 2025, PAG delivered 485,000 new and used vehicles and nearly 19,000 new and used commercial trucks. We generated $31 billion in revenue. We earned almost $1.3 billion in earnings before taxes and $935 million in net income and generated earnings per share of $14.13. We continue to grow in the U.S. and Italy with the acquisition of 2 Toyota and 2 Lexus dealerships and 1 Ferrari dealership. We followed that up with the announcement of the 2 Lexus dealerships we plan to acquire in the first quarter. These are located in Orlando, Florida. In total, these acquisitions represent $2 billion in estimated annualized revenue. We also completed strategic divestitures representing approximately $700 million in revenue. These divestitures generated $200 million in proceeds that were redeployed into higher returning assets. We expect to generate another $140 million in proceeds from additional divestitures planned for 2026. In our press release this morning, we announced the 21st consecutive increase in our quarterly dividend. The increase was $0.02 per share to $1.40. Our dividend payout ratio increased to 37.4% and the forward yield is 3.4%. We repurchased 1.2 million shares of stock, representing 1.8% of our outstanding shares for $182 million. Let me now turn your attention to the fourth quarter. In automotive, our business was impacted by weaker premium sales in both U.S. and U.K. by tariff and BEV-related pull forward, unusually high unit sales in the prior year related to stop sale, the Land Rover cyber incidents, which resulted in 800 units of fewer sales in Q4 and the macroeconomic conditions in the U.K. For example, our new sales of the German luxury brands were down 20% in the U.S. and 22% in the U.K., including the decline of over 2,800 units when compared -- these are BEV units, when compared to Q4 of the prior year. As a result, automotive same-store units delivered declined 8% and used declined 4%. Gross profit per unit retail in Q4 was $4,689, and it was up $47 per unit sequentially. Gross profit per used unit was $1,770, which was consistent with Q4 in the prior year and in line with seasonal expectations. In the Commercial Truck segment, PTG outperformed the market. However, the continuing freight recession drove lower new and used unit sales and also impacted our equity income from PTS. In total, PAG Q4 revenue was $7.8 billion, down 4%. The decline in revenue is from the lower unit sales, coupled with strategic divestitures and dealerships, which impacted the quarter revenue by $200 million. EBT was $256 million, net income $186 million and earnings per share was $2.83. On an adjusted basis, EBT was $263 million, net income $192 million and earnings per share was $2.91. We estimate fourth quarter EBT was impacted by $29 million or $0.32 a share. First item was the U.K. social programs with approximately $3 million, the cyber event with Jag/Land Rover $8 million, continued freight weakness impacted by Premier Truck $11 million and PTS by $5 million and costs of strategic divestitures of approximately $2 million. Additionally, when you compare Q4 of the prior year, a higher tax rate reduced net income by approximately $8 million or $0.12 per share. At this time, I'd like to turn it over to Rich Shearing to discuss our North American Operations. Rich?
Richard Shearing: Thank you, Roger, and good afternoon, everyone. In U.S. retail automotive, same-store new and used unit sales decreased 4% with new decreasing 6% and used decreasing 1%. In Q4, new unit sales at our German luxury brands declined 20% and were impacted by pull-forward activity from tariffs and the expiration of BEV credit. Also, Land Rover new unit sales decreased 37% as production was halted for 6 weeks, limiting our available inventory for sale. BEV sales declined 63% or 1,700 units in Q4 2024 (sic) [ Q4 2025 ] versus Q4 2024. During the quarter, 25% of new units sold were at MSRP compared to 29% in the same quarter last year. Used vehicle sales continue to be constrained by fewer lease returns and affordability. Lease returns bottomed in 2025 and are expected to begin improving in 2026. Our U.S. same-store service and parts revenue increased 6% and related gross profit increased 5.5%. Customer pay gross was up 7% and warranty was up 9%. On average, in the U.S., we estimate each of our automotive technicians generate approximately $30,000 of gross profit per month. Our automotive technician count is up 2% when compared to the end of December last year. Our automotive service and parts revenue and gross profit is at a record level, and we continue to focus on driving higher utilization in our base. Turning to Premier Truck Group. During Q4, Premier Truck outperformed the industry retail sales of new trucks, which decreased 14% compared to an industry decline of 28% for Class 8 sales. We retailed 3,789 new and used trucks, generated $725 million in revenue and $121 million in gross profit. Tariffs pulled some orders previously scheduled for delivery in Q4 up to earlier in the year, while other customers remain on the sidelines due to Section 232 tariffs and the resolution of the EPA 2027 emissions rules. Service and parts revenue declined 1% and represented 74% of the total gross profit during Q4. EBT declined $11 million from $45 million to $34 million when compared to Q4 last year as the prolonged recessionary freight environment impacted Class 8 orders, new and used unit sales and fixed operations activity. Turning to Penske Transportation Solutions. The freight environment also impacts the full-service lease, rental and logistics operations of PTS. During Q4, operating revenue declined 5% to $2.6 billion. Rental revenue declined 17% and logistics revenue declined 3%. Throughout this past year, PTS has reduced its fleet size in rental, leading to reduced operating costs for maintenance while also reducing depreciation and interest expense. PTS sold 9,750 units in Q4 and 41,500 units for the full year of 2025, ending the quarter with a fleet size of just under 397,000 units, down from 435,000 units at the end of December 2024. The weak freight market continues to impact gain on sale. Overall, the gain on sale declined by $18 million in Q4 and $87 million for 12 months of 2025. Despite market headwinds, equity earnings from PTS were down less than 10% to $48 million. The PTS team continues to focus on cost reductions, including rightsizing of the fleet and operating cost reductions. The actions will see future benefits when the freight environment recovers. In fact, in January, PTS experienced a net increase in full-service lease fleet, tractor rental utilization of 82% and improved operating profit in rental versus the prior year as a result of these actions. I would now like to turn the call over to Randall Seymore to discuss our international operations.
Randall Seymore: Thanks, Rich, and good afternoon, everyone. During Q4, our international revenue was $2.8 billion, down 2%. The U.K. remains challenging as inflation, higher taxes, consumer affordability and the government push towards electrification impacts the overall market. We are encouraged to see the Bank of England cut interest rates to their lowest level since early 2023 with additional cuts predicted in 2026. We have taken steps to realign our U.K. operations with current market conditions. These steps are reducing the footprint of our Sytner Select locations, closing unprofitable franchise dealerships and reducing our headcount in the past year by 1,000 people. At the beginning of January, we also changed our management approach from a brand-driven to a market-driven offense. We believe this strengthens our management team and enhances our focus on a market-by-market basis across the U.K. This approach is similar to the structure that we have in the U.S. During Q4, same-store new units delivered were impacted by weaker national sales of the German luxury brands, which declined by 20%. However, our new car gross improved by $34 per unit. Same-store used units decreased by 10% as lower new car volume impacted vehicle availability, combined with lower unit sales at the Sytner Select locations. The Sytner Select locations retailed 1,000 fewer cars from a reduction in the number of dealerships and the macro environment in the U.K. However, pleasingly, our used car gross increased by $150 per unit. Service and parts same-store revenue increased 2% as our strategies to increase customer pay resulted in a 9% increase, which was offset with the 18% decrease in warranty. We see an encouraging environment across our Germany and Italy businesses, leading to an improvement in those markets of profitability during our Q4. Turning to Australia. We had a very strong fourth quarter. EBT nearly doubled when compared to the same period in the previous year. In automotive, we have spent the last 12 months implementing the one ecosystem strategy for our 3 Porsche stores in the Melbourne market. Through this process, we have improved the customer experience, increased the performance of our used vehicles and grown our service and parts business while increasing profitability. On the Australian Commercial Vehicle and Power Systems business, we are diversified with revenue and gross profit split of approximately 2/3 off-highway and 1/3 on-highway. In particular, we see strength in the off-highway market segments of Energy Solutions, mining and defense. We completed projects worth nearly $700 million in revenue last year and already have $500 million in secured orders so far for 2026. In Energy Solutions, this growing segment provides power solutions for data centers to support the growth of artificial intelligence and these data centers require robust infrastructure with reliable power at the core of its operations. The engines and support we provide will be critical as this segment evolves. We see the potential for our Energy Solutions business to generate at least $1 billion in revenue by 2030. I would now like to turn the call over to Shelley Hulgrave to review our cash flow, balance sheet and capital allocation.
Michelle Hulgrave: Thank you, Randall. Good afternoon, everyone. We remain committed to our diversification strategy, a strong balance sheet and a flexible and disciplined approach to capital allocation while implementing efficiencies to lower costs. During 2025, total SG&A expenses grew by 2.1% and were in line with inflation. SG&A as a percentage of gross profit for the 12 months ended December 31, 2025, was 72.1%. Excluding certain onetime items in 2025, adjusted SG&A to growth was 71.5% and is in line with our previous guidance. As Roger mentioned earlier, Q4 SG&A to growth was impacted by lower new and used units previously discussed, lower business volume at Premier Truck Group and higher social program costs in the U.K. For the 12 months ended December 31, 2025, we generated $1 billion in cash flow from operations and EBITDA of $1.5 billion. Our free cash flow, which is cash flow from operations after deducting capital expenditures, was $651 million. We used our cash flow and strong balance sheet to allocate capital as follows: we repaid $550 million of senior subordinated notes at their scheduled maturity. We invested $325 million in capital expenditures. We completed acquisitions representing $1.6 billion in estimated annualized revenue, which included Longo Toyota, the #1 Toyota and Longo Lexus, the #4 Lexus dealerships in the U.S. At the same time, we generated cash proceeds of $200 million by divesting of nonstrategic dealerships, representing $700 million in revenue and $4.5 million in EBT. Through December 31, we paid $344 million in dividends. Today, we announced an increase in our dividend to $1.40 per share, representing the 21st consecutive quarterly increase. On a forward basis, our current dividend yield is approximately 3.4% with a payout ratio of 37.4% over the last 12 months. During 2025, we repurchased 1.2 million shares of common stock or approximately 1.8% of outstanding shares for $182 million. As of December 31, 2025, $247.5 million remained available for repurchases under our securities repurchase program. Over the last 4-plus years, we have returned approximately $2.5 billion to shareholders through dividends and share repurchases. At the end of December, our non-vehicle long-term debt was $2.17 billion, which is only up $314 million since the end of December 2024. Floor plan is $4.1 billion. While we continue to evaluate the impact of the One Big Beautiful Bill on our financial statements, we do expect to recognize positive cash flow impacts related to our 28.9% ownership in the PTS partnership. We estimate the bonus depreciation feature will provide an estimated $120 million to $150 million of additional cash flow each year. For the year, total interest expense declined $18.8 million or 7% due to our cash management and lower interest rates. We estimate a 25 basis point change in interest rates would impact interest expense by approximately $12 million. Total inventory was $4.8 billion, up $104 million from December 2024. At December 31, new vehicle inventory is at a 49-day supply, including 52 days for premium and 34 days for volume foreign. Used vehicle inventory is also at a 49-day supply with the U.S. at 34 days and the U.K. at 66 days. At the end of December, we had $65 million of cash and liquidity of $1.6 billion. At this time, I will turn the call back to Roger for some final remarks.
Roger Penske: Thank you, Shelley. As I look towards 2026 and beyond, I'm quite optimistic. We anticipate the long-awaited recovery in the commercial truck market, and we expect a stronger macro environment in the U.S. The Big Beautiful Bill, tax refunds, lower interest rates and GDP growth will have a positive impact on all of our operations. One thing we can't control is the weather. A few weeks ago, our businesses in the Southern, Midwest and Northeast U.S. were impacted by snow and ice storms, which lasted several days. Over half of our locations felt some level of impact. I'd like to thank all of our team members for their efforts in recovery, taking care of this storm, which we had not expected. I want to thank all of you for joining us today, and we'll open it up for questions. Thank you.
Operator: [Operator Instructions] Our first question will come from the line of Michael Ward with Citigroup.
Michael Ward: I don't know if I'm looking at this the right way, but I tried to check back a couple of years ago and look where your brand mix has trended. And it seems like it's Toyota Lexus, BMW, Porsche have been the growers. And is that in the U.S. and the U.K.? Is it mostly in the U.S. that growth? Is that strategic? And then it also looks like you're getting focused on, if you look regionally, you have Northeast Florida, California, Texas. Am I looking at that the right way? Is that a strategic direction for Penske?
Roger Penske: Well, first, let me say strategically, obviously, when you think about Florida, you think about Texas and California, where we have a big footprint, these would be obviously typically where we'd like to have add-on brands. And there's no question when you think about Toyota, Lexus, Porsche and certainly BMW, we've grown with these brands over the last 4 or 5 years significantly, not just in the U.S., but I would say internationally. We look at these brands as premium luxury. Obviously, the volume foreign, which would be the Toyota business has been very strong across the country with everyone that handles that particular brand. As I look at the future and you take your BMW business, you take our Toyota Lexus business, including Orlando and add Porsche to it, it's probably over 50% of our business from a sales volume. So to me, we know how strong those brands are. And one of the things that drives us here is the captive finance companies. Toyota Financial, Lexus Financial, Porsche and also BMW. These are the strongest players that we have within the market. And I think at the end of the day, we continue to keep our mix primarily, I think it's 71%, if I'm correct, Tony, 71% premium luxury, which will go up when we look at adding the 2 Lexus stores. So I would say California, Texas and Florida, strong markets, brands right where we want to be. And then we've divested, Mike, which we've talked about before, stores where we weren't getting the returns that we needed. The markets were not the ones who had the growth and we had certain CI requirements. So again, adding those markets with Arizona, where we have, I think, Shelley, what almost $2 billion worth of business in Arizona, it puts us really in the sweet spot.
Michael Ward: And secondly, could you talk a little bit about the cadence of earnings in 2026 because Q1 is a tough comp. And now you have the weather sitting on top of it. Can you talk about the cadence, how we should look at it going through the year?
Anthony Pordon: Yes, Mike, this is Tony. Thanks for that question. So Q1 will be impacted by the tariff-related effect that we saw the pull forward into March of last year. So with that, we expect some headwinds there. On top of that, we saw a SAAR of $17.8 million in that month, I believe, and it carried forward into April. And then in the U.K. last year in the month of March and into April, they had a new tax that came on in April last year, which actually caused some pull forward of demand into the first quarter. So our earnings are always judged and predicated upon how the registration periods for the U.K. do in Q1 and Q3. And then typically, Q2 is a really, really strong period for the U.S. marketplace. If you go back and look at our historical trends, as you know, the summer selling season kicks off, you've got all the tax refunds that have come in and through everything. So I think you'll have those types of challenges in front of us in the first quarter with those year-over-year comparisons.
Roger Penske: I think in Q2, we'll have -- it's great for our one-way business. We see a spike in Q2 with people coming out of school and going out for the summary is a big help.
Anthony Pordon: End of Q2, beginning usually throughout Q3.
Michael Ward: All right. So you have soft Q1, big Q2 and then you go from there.
Anthony Pordon: Right.
Roger Penske: I never want to use the word soft. That's your word.
Michael Ward: Yes.
Roger Penske: All right, thanks, Mike.
Operator: Our next question will come from the line of Alex Perry with Bank of America.
Alexander Perry: I guess, first, I just wanted to talk through your outlook on the parts and service business as we move through the year here. Obviously, it's sort of been a big outperformer. Should we continue to expect really strong growth on a same-store basis? And maybe just walk us through what key company initiatives are driving strong growth for you guys?
Richard Shearing: Yes, Alex, it's Rich here. So I can speak to the U.S. and kick it over to Randall for the international. But I think, obviously, as you pointed out, continues to be the bedrock and foundation of the profitability of the business. And I think whether it was truck or automotive dealerships, we continue to grow our effective labor rate, up 5% on the auto side, up 2% on the truck side. And we saw our fixed absorption rate go up by 200 basis points as well in the U.S. automotive business to 89.6%. And so as we look to this year, certainly, we would target to kind of have that same mid-single-digit growth in our fixed operations business. We've got to always take a look at the balance of what is customer pay versus warranty. And we've been very fortunate the last couple of years on the warranty side that the OEMs have had a lot of recalls. That is never guaranteed from 1 year to the next. So we need to continue to work on our customer pay opportunities. And we've talked in the past about what we're doing with artificial intelligence, tech videos and then really targeting segment 2 and 3 customers, right? Because if you look at the age of the car park, we've talked about this before, it's at an all-time high. Mileage -- average mileage for cars in the car park is at almost 70,000 miles. We need to make sure those customers that are operating those older vehicles and maybe aren't in the market right now to buy a new car are coming back into our dealerships. We haven't cracked that code yet. It's something we're still working on, but those are some of the opportunities. And then I think if you look at where we're investing, I think everybody thought maybe that the radar and ADAS systems were going to eliminate collisions. And that's just not the case. In fact, we're seeing when the repairs need to be made on these vehicles, the severity of those repairs is higher from a labor dollar standpoint. There is -- because of the cost of that technology, depending on the damage, a propensity maybe for those cars to get written off by the insurance companies. But that's an area we're investing in, and we just opened an 85,000 square foot facility on the truck side in our Dallas market as well. So I think those are going to be the areas that we continue to focus on.
Roger Penske: I think also when you look at, Alex, the acquisition of Longo, Rich talked about our expansion to try to have the opportunity to grow in the car side and the truck side, Longo Toyota's body shop generates $1 million worth of gross profit just in the body shop. So they -- per month, and they have a tremendous opportunity for us to learn how they do that across the country. And also internal will continue to be a key asset of ours coming in the revenue for used cars and also the PDI on new cars and also adding accessories. We have 2 businesses out in Oklahoma, where we provide all the accessories for both Ford and GM products, which are not put on the cars on the assembly line. So that business continues to grow for us also with a great return.
Alexander Perry: That's incredibly helpful. And then I wanted to ask my second question on what is your outlook on the freight market for the year? Are you seeing some relief in terms of the supply side overcapacity headwinds that had been facing the industry? Or are you a little more optimistic on the freight side?
Richard Shearing: Yes. Thanks, Alex. I'd say, yes, generally a little bit more optimistic. There has been some green shoots as of late. Some things that I think are driving that. We've talked in the past about the administration's efforts to crack down on non-domicile CDL and illegal CDL holders. We are seeing that have an effect. And when we talk to some of our shippers, they say that there is a capacity tightening in certain areas of the country. They mentioned specifically Chicago, Northeast, parts of Texas and some parts of California as well. And for the first time in years, they've been able to turn down loads that maybe are less desirable from an economic standpoint. So I think that's a positive. Of course, I think Q3, Q4 last year, you had uncertainty around tariffs. You had uncertainty around what the EPA27 regulations were going to look like. I think this caused a number of carriers to just sit on their hands with respect to order placement. I think as those things get more clarity, we'll see people that are kind of on the sidelines right now get in the market. And we saw, I think, some of that in January where industry orders were up 20%. So I think we'll continue to see the tightening. I think interest rates will help. And then obviously, the investment the administration has been talking about with respect to onshoring of manufacturing, that's a big driver of freight as well. And I think when those dollars start to get deployed and the construction begins relative to those investments, it's really going to be beneficial for the trucking market.
Anthony Pordon: You have smaller fleet carriers exit the market, too, right, which helps overall.
Richard Shearing: Yes. Yes.
Alexander Perry: That's all incredibly helpful. Best of luck going forward.
Operator: Our next question will come from the line of John Babcock with Barclays.
John Babcock: Just one quick question just while we're on the trucking side of things on PTS, I was wondering if you could talk about what sort of utilization rate it's going to take to see earnings start to meaningfully inflect there? And then I have a follow-up.
Roger Penske: Well, look, I don't think so much, it's -- you look at utilization is one because we're balancing our fleet. The big impact when you think about it, the total of loss on gain on sale versus 2024 was $87 million. And you get that back to where it normalized. But when you're de-fleeting in a soft market, obviously, the opportunity to take that profitability we normally have went away. And then what we've had to do, we've had an interest on -- we've seen some interest costs come down because our total fleet is down. When you defleet, you generate capital, and we're down about $1.4 billion in total debt in a leasing company. So that's going to be a benefit. I think what will take place is that the customer, when you look at our business, the 2 components which are key are obviously full-service leasing, and we provide the truck, the licensing, the maintenance, et cetera. But then also, we provide extra vehicles when there are spikes in their business. And I would say that for the last 2 years, the rental revenue we get from our existing lease customers has been off -- I'm going to -- maybe this is not a -- I don't want to say it's a guess, but I think it's off 50%. And on top of that, the mileage that's being driven by our lease customers because you have a fixed rate per week and then you have a mileage rate. And without miles, we don't get the revenue. I see that coming back, which will be very positive for us as this market, as Rich talked about, starts to expand and accelerate. So if we get the gain on sale to level off, think about it. Operationally, we were off about $16 million or $17 million total last year EBT, and we had $87 million less in gain on sale. So from an operating standpoint, the guys knocked the ball out of the court. But it's a good core business. No one has a fleet like we have. And on the other hand, our logistics business there continues to grow with key customers. And we're being very selective, just not trying to grow logistics. We want ones where we can provide not just warehousing, but try to provide warehousing and dedicated carriers, et cetera. So I think there's lots of areas there will give us some real opportunity. And again, there, we've reduced the number of people also, obviously, in our rental area because of the slowdown in rental. But when you think about 40,000 units coming out of the fleet, the amount of depreciation, interest and maintenance that comes out with that is massive, and that's helped us a lot.
John Babcock: All right. That's very helpful. And then just my last question or really follow-on here, I guess. On the M&A market, how does that feel right now? And also, what are your goals on the M&A front in '26? So for example, are there certain geographies or brands that you're looking to fill out?
Roger Penske: Well, I would say that with the acquisition that we made with Penske Motor Group and also what we have in the bucket here for Orlando, the 2 Lexus stores will give us about $2 billion. And I think we've talked about it over the years about a 5% increase through acquisitions and 5% organically. So I think that we're hitting one of those right in the target. And we will continue to look for strategic areas in markets where we have scale. I don't see any markets that we're going to break into today unless we buy another big group. And I think from a ratio from the standpoint of our leverage, we want to keep it well under 2%. And with that, so we're going to be very selective as we go forward. And obviously, capital allocation, Shelley could talk about, we'll be looking at share buyback and certainly the CapEx requirements we have.
Operator: Our next question comes from the line of Rajat Gupta with JPMorgan.
Rajat Gupta: I just wanted to double-click a little bit on used car GPUs. Typically, I mean fourth quarter is always down slightly versus the third quarter. But this is the largest decline we've seen sequentially. I understand year-over-year was up slightly, but the prior quarters year-over-year was up a lot because of the Sytner consolidation. So I'm just curious if you could comment or unpack the fourth quarter dynamics a bit. We've seen some of this weakness across your peers as well. So I'm wondering like if there's anything changed in the market landscape recently, anything to do with mix? Anything you would call out to help us understand that better and how we should think about 2026? And I have a quick follow-up.
Tony Facione: So Rajat, this is Tony. Thanks for the question. So basically, when you take a look at our overall gross per unit in Q4, it was $1,770. That compares to $1,773 in Q4 last year. So it was flat. Average selling price stayed relatively flat. But one of the things we did see is that there was a mix shift between our business in the international markets, principally the U.K., fewer units in that market where we saw a larger decline in same-store unit sales, and we saw better results in the U.S. on a used unit side of things, but we make less in the U.S. on the overall gross on a used vehicle. So the combination of those 2 things really caused the biggest decline that you saw in that gross between Q3 and Q4. On top of that, you have seasonality that comes into play in the fourth quarter where there's de-fleeting that's taking place. So as you saw what happened in Q4 of 2024, same phenomenon happens in Q4 of each year. We would expect then some improvement as we move sequentially into Q1, Q2 of this year in the gross per unit.
Roger Penske: One thing, Tony, just to mention, as we were -- and I'll use the word struggling to try to get the right focus on Sytner Select. The big issue there in that business was to get enough used cars every month to sell 5,000 or 6,000. We were never able to get those that kind of number and have any profitability when we bought cars at the auctions, et cetera. So we shifted down a gear and we decided we would go out and try to buy big blocks of cars, which we hadn't done before. Well, I think we bought -- don't hold me to this between 1,000 and 1,500 cars, and we're paying for some of those in growth, so we're not getting the profitability we expected. I think the good news now is that 46% or 47% of the cars that we generated for used cars was actually from internal or from trades, and that's gone up to over 60% now. And so I think we're going to see a better mix coming out of the -- getting them from our existing stores plus we'll see better margins. And we're -- I think we've got another quarter probably to work through this 1,500 cars. It's not anything to worry about, but it just is another stumbling block that we hit because we continue to try to figure out what's the right solution because used car prices are up, hard to get them. We want to make a margin on them. We don't want to over recondition when we do, it takes away from the -- I think one thing that's key is really the amount of money that the finance company will allow to be financed. If you got a used car and you put too much reconditioning in it, it limits your profitability. So when you pull all those together, I think that we're traveling. Randall, you might want to make a comment on that as we go forward here in '26.
Randall Seymore: Yes. Look, we feel confident if you look as we finished the month of December compared to October and November and where we are in January, sequentially, the gross profit per unit continues to go up and January over January was good as well. So you're right, it is the inventory, the health of the inventory, aging is in terrific shape. So look, it is hard to acquire cars. But in the same breath, as you said, Roger, the profile, 68% of the cars that we acquired are either from trade or buying off the street which is up about 20 points versus what it was last year at the same time.
Roger Penske: And we're not in the old car business. I know some people feel that it's a great opportunity. But I can tell you, when we were selling these older cars in the U.K., the amount of cars that came back for policy or buyback I just couldn't -- like we couldn't control it. So that was another reason we decided to pull back and go down a gear because the older car gets, you can't do the full reconditioning. And remember, when you buy a car, you're expecting to be able to drive it, not have to take it back to the dealership 3 days later. So we're in this probably 1- to 5-year sweet spot when we look at our business on a going-forward basis. What about you, what do you feel, Rich?
Tony Facione: Yes. No, I was going to add to a comment, Rajat, that Roger said earlier, right? We think we bottomed out last year on lease returns. Lease returns were only 7% of our used car sales last year. That was down from 11% in '24. And so that gives us good cars that come back to our dealership that generally we're not competing against other dealers or other parties to acquire.
Roger Penske: Well, the other thing we haven't been able to get the right cars because of some on the premium luxury side because of tariffs, et cetera. So we've been unable to turn our loaner cars. If you take our BMW store, we have -- where we can turn loaner cars 303x. That's 1,000 young used cars that we really haven't had to play with here over the last couple of years. So that's only going to help us going forward.
Rajat Gupta: Got it. Got it. That's all very helpful. I had a follow-up on PTL, just following up on Alex's question. Based on like how January might have started and like capacity coming out, in the past, you've talked about maybe there's an opportunity on reducing the bad debt expenses as well. Just keeping all those things in mind, would you expect PTL's income to grow in 2026? What's like a good expectation for us to model for that segment?
Roger Penske: Well, I think from an overall business, we will see it increase because our rental business is up, it will probably be towards the second half as we've seen this good utilization here in January. Now the weather is going to put a little dent in our fender here short term but I see that up. There's no question that with the money that's going to be put into the economy by the government, coming up new tax rates, et cetera, I think you'll see the one-way business starting to accelerate. It's been kind of on hold due to the fact that people didn't have the money obviously, to move out of their homes. So I see that as certainly a benefit. Logistics will continue to grow based on our acquisition of new business. But again, many of our logistics customers have been operating with slower revenue also from their customers, and we've seen that ourselves as we have some of the direct business with some of the OEM manufacturers who supply parts to the OEMs. But I see an increase in revenue. I think you talked about bad debts. We faced for the last couple of years in the rental side, people are maybe not aware of this, but we faced a lot of fraud where people come in, make a reservation online with all the high-tech stuff we have. People come in with the credentials. When we check them, they're fine. We turn around a week later, we can't get our truck back or they never pay us. So we've gone to some very, very detailed techniques not to be discussed here in order to be able to take that down. And we've seen that already, that offense in the end of the fourth quarter and early this year already taking shape, which is another impact to bottom line where we can reduce our bad debts by $10 million or $15 million next year. It gives us some runway to exceed everyone's expectations.
Rajat Gupta: Understood. Great. Good luck.
Operator: Our next question comes from the line of Daniela Haigian with Morgan Stanley.
Daniela Haigian: So Roger, you've spoken about affordability pressures and -- going into 2026. So how have you seen any change in consumer behavior either in the finance business or in after sales for maybe retention on those older model year vehicles?
Roger Penske: Well, let me let Rich talk about after sales, do you want to just where you think we are in aftersales. And I can talk on the other.
Richard Shearing: Yes. So we -- I think, Daniela, the affordability topic obviously gets mostly talked about from a new and used vehicle selling price perspective. But as we looked at our business towards the end of last year, as we meet with our team on a monthly basis to go over the operations. And it was conveyed to us during that time that the third-party financing for our after-sales repair orders is starting to climb. So obviously, repairs on cars are generally not anticipated unless it's a routine oil change. But if you have a mechanical issue with your car, the repairs can exceed $1,000. And as stretched as some people are today, it's just very difficult to forward that out-of-pocket with everything else costing more money. So we have seen an increase in the financing of some of our aftersales repair orders.
Roger Penske: And we're focusing on Level 2 and Level 3 to try to keep this customer that's out of warranty also.
Richard Shearing: Yes, we're evaluating what we can do from a labor rate perspective, what we can do from a parts pricing perspective, whether it's offering an alternative part to make that repair, so that the customer has a choice and can decide how they want to spend their money.
Roger Penske: When you look at the business right now, affordability, you've talked about, everybody else has, but we have this pressure of the really undecided Washington on where they're going with tariffs. And of course, that has a tremendous impact of 25% on the German OEMs. Today, the U.K. is 10% for the first 100,000 units. So that will be pressure putting more cost on our trucks, more cost on our cars and our light vehicles. I think that what's going to have to happen, we're going to have to start getting equipment or vehicles with less equipment because they load these things up in order to get margin. So there's going to have to be a definite look at -- I'm not talking about strip versions, but I mean less equipment. And then when we look at BEV vehicles because they do have some production, and we're starting to see that inventory creep up because they still want to utilize those lines, I think an ICE vehicle is going to have to be the same price as a BEV vehicle. They probably don't like me to say that, but I feel that they're going to have to get in that range in order to keep this market going the way they want to. But I don't see a lot of escalation except when they can say it's all tariff driven. I don't know how you feel about it in general.
Richard Shearing: Yes. And I think -- Daniela, I think the other thing is they're going to have to get back in the game from a leasing standpoint rather heavily because they can control the residual value and can drive what that payment needs to be. In the U.S. market typically has been a leasing market. We were flat year-over-year at about 32% overall. but we still have upside in our premium luxury. That historically has been between 50% and 55%, and we're still in the low to mid-40s from a leasing standpoint on the premium luxury at the moment.
Daniela Haigian: And my follow-up is switching gears a little bit to Chinese OEMs in EU and rest of world markets. Has your strategy or how has your strategy evolved as it relates to the influx and changing market shares that you're seeing in these international markets?
Roger Penske: Randall, do you want to take that question?
Randall Seymore: Yes, sure. Daniela. So look, there's no doubt that in the -- some of these foreign markets, particularly in Europe, the Chinese are gaining share. So particularly in the U.K., they doubled their share. They have nearly 10% of the market now. And our strategy has been through our Sytner Select stores. So we've got our big box pre-owned retail, these off brand from our franchise. We've put Chinese brands. So Chery in 3 of the locations, Geely and 5 of them and then we're opening 1 BYD store. So we're utilizing our existing assets. Of course, we need to spend some money on the corporate identity. But in Q4, we retailed 176 Chinese vehicles out of the Chery and Geely. We're really -- in earnest, we're in business really starting at the beginning of November. So Q1 will be the first full quarter. So look, it gives us an opportunity to understand the brand, understand the cars, gain relationships and understand that with these OEMs as well.
Operator: And our final question comes from the line of David Whiston with Morningstar.
David Whiston: On the Orlando deal, once that closes, are you going to need to sell any Lexus stores that remain under the cap?
Roger Penske: We will be -- once those deal is completed, we'll be in compliance with the requirements from both Toyota and Lexus, including Penske Motor Group.
David Whiston: Okay. And then on the credit line draws to fund -- partially fund these deals, do you prefer to let leverage in jump a little bit after the deal? Or do you want to repay those credit line draws quickly?
Roger Penske: Well, let's take a look at it. Our leverage is 1.5, and I say we want to be well under 2.0, but the cash flow if we have a similar year that we had this year and we -- our CapEx will probably come down $100 million, we'll have free cash flow, after CapEx we could have over $750 million. So we see this as a short-term flip in our leverage, but we don't see going into the market right now.
David Whiston: Okay. That's all I have.
Anthony Pordon: All right, thanks guys.
Roger Penske: Thanks, everybody. We'll see you at the end of the next quarter.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect.